Operator : My name is Abigail and I will be your conference operator today. At this time I would like to welcome everyone to the Huntington fourth quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. (Operator Instructions) Mr. Gould you may begin your conference.
Jay Gould: I’m Jay Gould, Director of Investor Relations for Huntington. Copies of the Slides we will be reviewing can be found on our website www.Huntington.com and this call is being recorded and will be available as a rebroadcast starting about one hour from the close of the call. Please call the investor relations department at 614-480-5676 for more information on how to access these recordings or playback or should you have difficulty getting a copy of the Slides. Slides two and three note several aspects of the basis of today’s presentation. I encourage you to read these. Let me point out one key disclosure, this presentation contains both GAAP and non-GAAP financial measures where we believe it help to understanding Huntington’s results of operations or financial position. Where non-GAAP financial measures are used the comparable GAAP financial measure as well as the reconciliation to the comparable GAAP financial measure can be found in this Slide presentation in its appendix, in the press release, in the quarterly financial review supplement to today’s earnings press release and in the related Form 10K filed earlier today, all of which can be found on our website. Today’s discussion, including the Q&A period may contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to change, risks and uncertainties which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of risks and uncertainties please refer to this Slide and materials filed with the SEC including our most recent Forms 10K, 10Q and 8K filings. Now, turning to today’s presentation. As noted on Slide Five, participating today are Steve Steinour, our duly elected Chairman, President and CEO; Don Kimble, Executive Vice President and Chief Financial Officer; and Tim Barber, Senior Vice President Credit Risk Management. Also present for the Q&A session is Nick Stanutz, Senior Executive Vice President of Auto Finance and Dealer Services and Mike Cross, Executive Vice President & Senior Commercial Lending Officer. Let’s get started.
Stephen D. Steinour : This is my first opportunity to address you since joining Huntington and you need to know upfront that I’m excited about being here. These times are certainly challenging, perhaps the most challenging facing the industry and Huntington in decades. I have always found in times of great challenge great opportunities also emerge and I firmly believe that is true for Huntington. We have some issues to address which we’ll talk about today but, we’re up to the task. I hope that through our remarks you’ll come to the same conclusion. I’ve also made it a priority to meet with and get to know as many of you as my schedule will permit beginning with a round of visits in New York next Tuesday. So, let’s begin with the presentation. Turning to Slide Seven, I want to begin with a review of my initial impressions about Huntington as well as my perspective on key issues. Don will follow with a quick over view of fourth quarter financial highlights. This may be briefer than usual as I think it is important that Tim spend time walking you through the specifics of our Franklin actions as well as other credit performance information. I will share my 5Q priorities, what I hope to accomplish and focus on in the first 90 days with you and then I’ll close with brief comments about 2009 expectations. So, if we turn to Slide Eight, some of you may be wondering why anyone would want to be a bank CEO at such a time at this and for some banks I would certainly agree with that underlying sentiment but, for Huntington there’s a lot that’s attractive and exciting. First of all, Huntington’s overall strategic positioning as a local bank, a relationship bank, is one that I have found that wins over time. In challenging times being local has great customer appeal. We’re here, we’re present, you can come in and talk to us, you can access us and access matters. It also means that we’re better able to understand your circumstances, the borrower’s circumstances, customer’s circumstances and in good times that’s also a winning formula. Decisions made locally with local knowledge great relationships that endure. Second, these are markets I’m familiar with. When Citizens acquired Charter One, an Ohio based company I came to Ohio and Michigan. I know Western Pennsylvania from the Citizen’s acquisition of certain banking lines from Mellon. I firmly believe Huntington has an opportunity to grow and take market share in each of these markets especially with the conditions present today. Another factor is that Huntington has good overall distribution. That’s a platform for growth with lots of optionality. We have multiple branch clusters in interesting markets in six states. Our technology is very good and we’ve invested significantly over the years in our IT platforms. We have the capacity to fold on acquisitions and we have some unique business lines. I’ll mention our private banking and investment management businesses which I think of as jewels and very scalable businesses. Huntington’s core product and services menu is quite robust so we have what is essential to compete and to win today. Further, and I know this as a former competitor, Huntington is a known and respected institution. In my former life we also found a lot of loyalty when we were soliciting a Huntington customer. So, these last three impressions are ones which every Huntington associate can be proud of and certainly reflects hard work and commitment and success in serving customer needs over many years. Despite our current quarter’s results and the fact that we will be facing an increasingly difficult economic environment for the foreseeable future, I believe the challenges can be successfully addressed. We will make the tough choices and we’re starting with a strong capital position. Lastly, though admittedly our first priority is to generate organic growth, Huntington is positioned as the logical Midwest bank consolidator. Now, I had a leading role in bank acquisitions at Citizens which grew from $3 billion to $160 billion in assets including through acquisitions and so I am quite familiar with acquisitions and integrations. Huntington has a proven customer integration and system conversion set of capabilities to be a player in the integration that is going to occur. But first, and this bears repeating, we must grow organically and we will. I’m going to use the next few Slides to provide my perspective on key issues. The first is our relationship with Franklin Credit Management. The $454 million pre-tax hit to fourth quarter earnings associated with this relationship was obviously substantial so the question are what happened from the end of the third quarter until now and where do we now stand with regard to this relationship? The answer to the first question is that the fourth quarter cash flows declined dramatically and fell well below expectations. In addition, as the quarter progressed it became increasingly clear that the economic environment during the quarter had worsened significantly and at a much faster pace than expected at the end of the third quarter. There was a growing consensus that it would be getting worse or certainly remaining challenging throughout this year, if not longer. As a result it was critical that we review the adequacy of our reserve against this deteriorating collateral situation. The bottom line of tall this was the need to charge off $423 million of our loans to Franklin and add $438 million to provision expense to build related reserves. As Tim Barber will detail for you, given our write offs and reserve building, our reserves today are in line with the expected recoverable amount. Our net exposure to Franklin is now $520 million. That’s a $650 million loan less $130 million reserve and that reserve is 20% of the loan. Now, another way to look at this is if you consider only our first mortgage collateral. Based on current valuations and an assumed reliable factor that 60% of that valuation plus $23 million of other collateral, mostly cash, the combined collateral is $562 million. So, that’s $42 million or 8% more than our $520 million net exposure. This also assumes no credit for $5 million a month in other cash flow that will directly pay down principal principally coming from second mortgages and sales of OREO. Now, looking at this a different way, our net exposure to Franklin now represents less than 1% of total assets and yet in a different vein, our valuations are consistent with what we’ve seen in the market place in recent bank acquisitions. So, by taking this charge we now have the flexibility with the portfolio that will allow us to maximize the ultimate recover of our loans to Franklin. Going forward, our strategies related to this relationship include creating a structure that will help unlock the value of the Franklin servicing capabilities to third parties. We’re also considering other structural changes in order to maximize its value to shareholders. Now, it’s too early to get in to specifics but we’re confident that we are positioned with enough flexibility to generate future value here. I hope this helps answer the second question. The bottom line is that we believe our actions should substantially address Franklin as an investor issue. I think it’s important to note that without the charges associated with Franklin, 2008 would have been a profitable year for Huntington even in this challenging environment. I’m not saying this to minimize or sidestep Franklin’s impact but I think this perspective is helpful within the context of addressing our Franklin relationship. Turning to Slide 10, let me talk about credit management. The first point is that through the third quarter Huntington’s credit performance has been better than many of the peers. While all of the fourth quarter performance numbers are not in yet from these peers, I believe that Franklin aside, we will continue to compare favorably. Tim will review this but I certainly think this will be the case with our home equity, residential mortgages and auto loan portfolios and may in fact be the case for the entire portfolio. Philosophically I think it’s important to have a centrally driven portfolio risk management strategy and overall approach including risk limit settings. This doesn’t mean that central loan-by-loan decision making will occur but what it means is that we’re going to set our risk management appetite as a company from a central perspective and manage the portfolio against the appetite. I also believe very firmly that lending is not about giving money away, it’s about renting money. This means that we must put in place the structure and reporting transparencies that provide clarity of accountability within the institution and certainly to all of you. We’ll make mistakes and when we do there will be consequences and that accountability will be apparent. Turning to Slide 11, I think there are opportunities to improve our profitability as well and one way is to make certain we spend our money wisely and efficiently. Great companies pursue this relentlessly so while this is always true it’s especially true in difficult times such as these and as such we’ve launched an expense reduction initiative. Our discussions at this point are high level so no numbers or estimates yet but our management team is in agreement that this is critical to get this fully defined quickly so that it can benefit results in short order. We’ll be looking at everything. There will be no sacred cows and nothing is off limits. My experience has found that these types of initiatives will result in some organization and other adjustments. At this point I don’t know what they may be but I do expect that outcome. I also think there’s additional revenue potential that can be realized here at Huntington. We need to find and realize additional revenue synergies within the customer base and improve our overall cross sell performance. We also have a number of high growth potential businesses that must be selectively invested in and we expect to do that. I think we have the makings of some specialty banking businesses in our various geographic regions. For example, in West Michigan we’ve developed an expertise in serving healthcare providers and servicers and we need to bring that capacity throughout our footprint. On Slide 12, as you’ll recall last November we received $1.4 billion in TARP capital. It’s important that our associates and customers know that we remain committed to use this capital as intended to support and increase lending in our loan modification programs. We will remain committed to prudent lending with the TARP capital. How are we doing? Well for the first 45 days from the receipt of the TARP funds through the end of the year we originated or renewed $1.2 billion of commercial loans and $500 million of consumer loans. Turning to Slide 13, the last issue I want to cover before Don reviews the fourth quarter financial performance are my perspective on capital and dividends. On the one hand our regulatory capital is strong and it is at least $1.9 billion more than the regulatory well capitalized minimum and it’s in line with our peers. Yet, our tangible common equity, that is the equity less intangible assets is below average and reflecting the quarter’s loss declined during the quarter. This is an important ratio to common stock and fixed income investors and therefore it is important that we begin rebuilding it. With that in mind and with the 2009 perspective of a challenging year, we reduced the quarterly dividend to $0.01 per share and this represents the most efficient way to add to our common equity immediately. In addition, the board of directors and management know that this dividend cut will be painful for our shareholders and I would tell you that this was not an easy decision as we know many shareholders depend on this income. But, it’s the right decision at this time for the institution as a whole and certainly for the shareholders as a whole. Back to my notion of accountability, I believe the interests of management and the board of directors must be aligned with shareholders and that’s why we’ve announced that there will be no senior management bonuses paid for 2008 performance. Further, the board will now only be compensated in common stock, there will be no cash component. So with that, let me turn it over to you Don.
Donald R. Kimble : Turning to Slide 14, before detailing the quarter I think it important to put full year 2008 results in perspective. Our reported net loss for the year was $113.8 million or $0.44 per common share. These results were impacted by several significant items: first, $454.3 million or $0.81 per share of negative impact related to Franklin, all in the fourth quarter. This impact included $438 million of loan loss provision, $9 million of interest income reversal and $7 million of write offs related to interest rate swaps. These actions reduced the net exposure of Franklin to $520 million. Tim will review these actions in more detail later. Next, $215.7 million or $0.38 per share of market related losses including $197.4 million of securities impairment. Also, we had $0.09 EPS from events related to our holdings of Visa stocks including the impact of the IPO, the reversal of the indemnification reserves and related tax benefits. Finally, $0.06 of EPS negative impact from the combination of restructuring costs and other asset impairments. The net message for this Slide is the significance of the Franklin Credit impact to the year. Adjusted for this impact, our earnings would have been a $0.37 per share. Now, turning to the quarter, Slide 15 provides a summary of the earnings for this quarter. Our reported net loss per share for the quarter was $417.3 million or $1.20 per common share. These results were impacted by three significant items: first, the $454 million or $0.81 of negative impact for the fourth quarter charges for Franklin. Second, $141.7 million or $0.25 per share of market related losses including $127.1 million of securities impairment primarily related to our [all state] mortgage backed securities. The forecast of future loss levels for the underlying mortgage levels increased again in the fourth quarter resulting in additional impairment. It is important to note the impairment charge far exceeds the expected actual credit losses. The difference will be recognized as [inaudible] in future earnings. Finally, two items related to our investment in Visa net us a little impact on our net EPS but did impact various lines on our income statement. Slide 15 provides a summary of our quarterly earnings trend. As previously noted, our net loss for the quarter was $417 million. A major contributor of the loss was the provisioning expense of $723 million for the quarter including the Franklin specific provision of $438 million. Our non-interest revenue reflects the market related losses of $142 million. Even after adjustment for theses losses many of our fee income categories were down from the previous quarter reflecting the change in the overall financial markets. Service charges were down 7% from the previous quarter, trust services income was down 10% and other income was down 20% or $7.6 million reflecting the credit losses on other interest rate swaps. Expenses were up $51 million from the previous quarter. Remember, we recognized a $21 million gain from the prepayment of debt in the third quarter. This quarter’s remaining increase was driving by higher residual losses on our auto lease portfolio, higher FDIC premiums after depletion of our one-time credit and annual true up of pension costs and increases in legal and professional services. On Slide 17 we provide an overview of financial performance for the quarter. Many items will be addressed at different times in our presentation but I would like to focus on a few items. First, our tier one capital ratio of 10.8% and our total capital ratio of 14%, each exceed a well capped life threshold by $1.9 billion or more. Second, our net interest margin declined from 3.29% to 3.18% over the last quarter. All 11 basis points of this decline was related to interest income reversals on non-accrual loans. In addition, our margin benefited from the issuance of capital by three basis points which is offset by the impact of competitive deposit pricing in our market. Finally, core deposits increased 3.3% from the previous quarter despite the very competitive market. Slide 18 provides a summary of many of the quarterly performance ratios. Many of these will be reviewed in more detail elsewhere. Let me turn the presentation over to Tim.
Tim Barber : Let me begin with a detailed review of our Franklin relationship. Slide 19 you have seen before. While the cash flow generated by the underlying collateral showed a declining trend over the first nine months of 2008 it did continue to exceed the requirements of the 2007 fourth quarter restructuring agreement. However, as you can see the level of cash flows declined significantly in the fourth quarter reflecting a more severe than expected deterioration in the overall economy during the quarter. In particular, principal payments associated with the first mortgage portfolios contracted as the availability of credit in the market was further reduced. A substantial amount of the monthly principal reduction has been associated with the sale of properties. So, the tightening credit scenario had a direct negative impact on cash flows. On the interest collections side there was a decline across all three segments but the decline was especially dramatic in the Franklin second mortgage portfolios as delinquencies continued to increase. While there was an increase in the level of OREO proceeds in December, that source has a high degree of variability from month-to-month. We observed performance in the fourth quarter coupled with the expectation that the severity of the economic downturn will further weaken the underlying borrower’s ability to pay as well as the value of the collateral resulted in a significant deterioration in the value of Franklin’s cash flow. As such, the revaluation of the future cash flows at the end of the fourth quarter led to the actions detailed on Slide 20. The $438 million additional provision was the result of some significant changes to the credit assumptions on the Franklin portfolio. Particularly affected was the Franklin’s second portfolio which showed a substantial increase in delinquencies and defaults in the fourth quarter. We are now assigning a default rate of 90% and a recovery rate of 2% to the remaining Franklin second portfolio compared with 65% and 10% as of the third quarter. Obviously, the majority of the reduced cash flow in the future relates to the adjustments on this portfolio. The Franklin first assumptions also changed with a default assumption of 75% and a recovery rate of 60%. While the default assumption did not change materially, the recovery rate reflects the reduced values in the fourth quarter and our belief that values will continue to decline in future periods. The Tribeca portfolio assumptions are now 80% default rate and a 60% recovery rate. As with the other portfolios the increase in the default assumption is a result of the increasing delinquency and default rates experienced over the course of 2008 but particularly in the fourth quarter. The recovery assumption declined materially as a result of lower than expected results in the fourth quarter and our now dramatically changed view of the New York/New Jersey metro home value. After the $423 million charge off we have a remaining gross exposure of $660 million with a $130 million or 20% specific reserve. The net exposure to Franklin is now $520 million. The loan is now on non-accrual status and $9 million of interest income was reversed in the fourth quarter. In addition, we have approximately $23 million in other collateral primarily cash. These actions have had no impact on our position relative to the Franklin servicing platform. It remains a valuable asset. The credit actions provide us with an opportunity to best leverage the value of the platform in the future. Slide 21 summarizes our collateral position relative to the remaining Franklin outstanding. Over the course of the fourth quarter updated values were obtained on all of the first mortgage loans. Huntington’s share of the collateral net of the other creditors under the terms of the restructure totaled $898 million to which we assigned a 60% realizable value factor resulting in collateral value of $539 million. Please note that we added no value for the $950 million of second mortgages but did add the $23 million in other collateral again, primarily cash for a total of $562 million in collateral. This collateral assessment provides a 108% coverage against the $520 million net exposure. While we assign no value to the second mortgages, that portfolio will generate $5 to $6 million in cash flow that will go directly to pay down the principal balance. Under the current credit assumptions, the loan will pay out over the course of the next five years. The bottom half of the Slide presents a portfolio performance picture as of December 31, 2008. As you can see the portfolio is significantly skewed towards the 120 plus days past due category across all three portfolio segments. This is provided for you to see the material default situation embedded in the underlying portfolio that we addressed in the fourth quarter actions. Turning now to overall credit performance Slides 22 and 23 detail the charge off results at the portfolio level. The trends were up in the fourth quarter across all of the segments but each had different dynamics. I will address the specifics of each on a later Slide. Slide 24 provides some key portfolio metrics. The 30 day past due levels showed manageable increase in the C&I and commercial real estate portfolios compared with third quarter results. A 2.09% 30 day past due result for the indirect auto portfolio is actually only 7% higher than the fourth quarter of 2007 despite the significant economic challenges. The home equity portfolio delinquencies also increased primarily driven by seasonal influences but we remain confident in the continued consistency in charge off performance. The residential portfolio remained flat albeit at relatively high levels. In the 90 plus day past due category the increasing level is reflected in the related reserves. As discussed early charge offs in [inaudible] loans were up in all portfolios in the fourth quarter reflecting the continued economic stress in our markets. The overall allowance for credit losses is now 2.30% of total loans and we built reserves across our portfolio. Slides 25 and 26 reconcile our actual full year 2008 charge off performance with the targeted ranges presented in October. As you can see only the C&I portfolio was materially higher than the targeted range. The higher losses in this segment were primarily a result of a couple of significant exposures that deteriorated rapidly in the fourth quarter. The auto portfolio was also higher than anticipated partially as a result of an even tougher used car market than anticipated and partially as a result of the declining lease portfolio balances, a business we exited in the fourth quarter. The indirect auto portfolio origination quality was a full 20% better in 2008 than the 2007 vintage as we move to an even higher quality super prime origination strategy. Even allowing for the economic stresses, we believe that we are well positioned for the challenges of 2009 in this portfolio. The home equity loan portfolio continued to perform within our expectations and substantially below the industry levels. The broker originations continued to run off and we are seeing the benefits of the interest rate environment on our variable rate borrowers. The residential portfolio also performed within expectations. Let me now turn the presentation back over to Steve.
Stephen D. Steinour : On Slide 27 let me share with you my expectations about 2009’s performance. First, as background we expect this to continue to be a challenging year and all year. While I’m hopeful the second half may be better than the first, in this environment we’re going to be guarded with a consistent outlook of a challenging year. As it relates to credit, we believe net charge off levels will remain elevated and that provision expense will continue to exceed net charge offs until we see the environment stabilizing and the economy improving. We also expect that net interest margin will remain under modest pressure. Deposit pricing is expected to remain aggressive in our markets which are among perhaps the most aggressive in the nation. I hope that at some point we’ll see Midwest deposit rates return to a more rational level but, we’re not planning on this happening. With the economy in the weakened state, cost associated with servicing delinquent loans are expected to increases. So, so much for the negatives. On the positive side we expect to realize a meaningful benefit from our expense initiatives and as I said earlier, more details to follow. We’ve continued to show success in growing core deposits and that’s expected to continue. We also expect to continue to grow our customer base in terms of taking market share and to improve our share of wallet. Lastly, we expect to see growth in core revenue. All in all a year with both challenges and opportunities. On Slide 28 shows key priorities for me in the next 90 days and as I stated at the outset we need to address the Franklin relationship as an investor concern and I hope we’ve done that today by articulating with you the basis for the decisions that have been made. But, we want to create opportunities and obviously share those opportunities with the shareholders in terms of value creating as we work with Franklin and restructure. My next priorities is to intensively review and access our lending and credit management areas. I need to understand this more fully to make certain our risk appetite is prudent and properly balanced in terms of risk and reward. I need to review the 2009 budget in light of the expense initiative as well as against the current economic conditions and the expectations articulated a minute ago. I’ll be working with the executive team to ensure we’re organized to drive results with accountability. Lastly, I want to meet with as many customers and associates, investors and analysts as possible over this 90 day period. So, it’s going to be a lot of fun, a lot of work and I’m delighted to get started. On Slide 29 it summarizes what I view as key investor and customer messages. As difficult and disappointing our fourth quarter results were, our actions have strengthened our financial foundation and position; a must in these uncertain times. This reflects substantially addressing the Franklin issue and significantly increasing our loan loss reserves thus, positioning us and giving us the flexibility to manage future credit challenges. The dividend action will permit us to allow more retained capital and the TARP capital is certainly supporting the needs of our customers and we plan to use it for that. Our regulatory capital position remains strong and our ability to serve existing customers and grow market share has never been better. As I said at the outset, challenging times create great opportunities. Lastly, our number one priority is to grow organically first and then seek opportunistic acquisitions. Thank you for your interest in Huntington. Operator, will you now open the line for questions.
Operator: (Operator Instructions) Your first question comes from Matthew O’Connor – UBS.
Matthew O’Connor – UBS: It seems like you took a pretty big whack on Franklin here but as we think about the rest of the book I definitely would agree that the credit performance has held up better than most of the other banks out there. Obviously, the economy is very weak so there probably will be more pressure going forward but, how do you think about how meaningful reserves build could be looking in 2009?
Stephen D. Steinour : Matt, this is my first full week here and there are many, many areas I just haven’t had a chance to get the opportunity to dig in to. So, the truthful answer is I don’t know. I don’t have an expectation other than a belief that having intensively reviewed Franklin over the last five days with the various members of the credit team that I was impressed by their knowledge and I certainly before I came here took a lot of comfort in the track record I saw over the first three quarters. Again, I can’t answer the question specifically but I do have some confidence about the organization and the quality of the book.
Matthew O’Connor – UBS: I’m just trying to get a sense of what the organic capital build might be this year and I guess if we looked at what the stock is doing today combined with the capital ratio, the tangible common, it’s a little bit light here and the market is saying that you might need to raise capital or come up with kind of some other plans. You talked about building common capital, you talked about kind of everything being on the table so if you could provide I guess some more color on how this might play out in terms of addressing the capital ratio?
Donald R. Kimble : As far as our capital ratio again, we feel that our tier 1 and total capital ratios are very strong. If you looked at our combined tangible equity ratio it’s still very strong and we believe we have taken action to address the common with our dividend cut that we’ve taken this quarter. And, as Steve said, we’re taking other actions to make sure we can enhance the earnings going forward to make sure we can build that capital in the future as well.
Matthew O’Connor – UBS: I asked the same question to one of the other Ohio banks today about being open to additional government assistance at this point and they seem to imply everything was kind of on the table so I wanted to ask you guys the same question.
Donald R. Kimble : Matt, as far as your question there of whether or not we’ll be looking to the more TARP type of capital or other resources?
Matthew O’Connor – UBS: Correct.
Donald R. Kimble : Well right now as we stand we are comfortable with our credit position. We don’t know any additional terms as far as any additional programs that might be out there. We’ve heard that they might be considering at some point in time purchasing assets in the future and as we get more details of any types of programs along those lines we’ll have to evaluate that at that time but, we’re not right now contacting the Treasury or other parties to see what additional assistance might be available.
Operator: Your next question comes from Dave Rochester – Friedman, Billings, Ramsey.
Dave Rochester – Friedman, Billings, Ramsey: Focusing on the credit trends can you talk about what industries and geographies drove the increase in C&I charge offs in the fourth quarter? It looked like growth in that segment really accelerated outside of Franklin.
Tim Barber : There really was not a pattern or a trend to that it was across the footprint. There were a couple of significant dollars, what I call significant dollars but the rest of it really was spread pretty much across our footprint. There were no industry trends or concentrations embedded in that.
Dave Rochester – Friedman, Billings, Ramsey: Are you seeing more deterioration perhaps in the Sky portfolio versus the legacy Huntington portfolio with regard to C&I?
Tim Barber : We don’t really at this point think a whole lot about the difference between the Sky and the legacy Huntington portfolio. It’s been our books for 18 months now and our treatment at this point is the same so that’s how we’re moving forward with that.
Dave Rochester – Friedman, Billings, Ramsey: I just want to make sure I understood your Franklin evaluation, in terms of the 40% haircut, how did you calculate the current value of the collateral? Was that just an appraisal situation where you just appraised all the collateral or did you use certain home price indices to get to that valuation?
Tim Barber : We specifically got a valuation on every one of the first mortgage properties. That’s how we got to the value side of things.
Stephen D. Steinour : In the fourth quarter.
Operator: Your next question comes from Heather Wolf – Merrill Lynch.
Heather Wolf – Merrill Lynch: Just a quick follow up on the 60% value, is that adjusted for foreclosure costs and also discounts that you may have to take to sell out of foreclosure?
Tim Barber : Yes, Heather that 60% is a realizable value so that would be net cash to Franklin that would go directly to pay down the principal on our loans.
Donald R. Kimble : Keep in mind too Heather that does not include any value associated with seconds and as Tim said earlier that’s receiving $5 to $6 million a month cash flow and that does not assign any value to the servicing platform as well which we continue to believe is a real value to the relationship as well.
Heather Wolf – Merrill Lynch: Can you help us think through how this cram down legislation could impact Franklin if it gets passed?
Tim Barber : Heather we don’t know exactly what’s going to come out but at 60% valuation off of current, as in fourth quarter individual asset valuations, we think we’re in a relatively reasonable zone here and we should be okay for almost anything you can think of coming out of cram down at this point.
Operator: Your next question comes from Tony Davis – Stifel Nicolaus.
Tony Davis – Stifel Nicolaus: Just so we can read the glass correctly Tim, I recall the excess cash flows I think last quarter, third quarter on Franklin was like $13 million or so. Do you have a number that you can fill in on that slide?
Tim Barber : Are you talking about Slide 19?
Tony Davis – Stifel Nicolaus: Yes, the one that’s just a chart that we can’t read.
Michael Cross : I can help you with that. On a cumulative basis throughout the entire year it’s about $50 million including the fourth quarter [inaudible] that you see.
Tony Davis – Stifel Nicolaus: Tim, you also saw nearly a quadrupling link quarter I think in charge offs in the commercial real estate book and I just wonder if you can give us some color on that by segment retail versus industrial and some thoughts on the severity of risk classifications you’re seeing there?
Tim Barber : Let me just make sure we’re on the same page regarding the increase in commercial real estate.
Tony Davis – Stifel Nicolaus: Charge offs on Slide 22, 11 to 38.
Tim Barber : Similar to my answer on the C&I side, it was across the regions. The commercial real estate portfolio was clearly concentrated in the single family builder segment of the portfolio. We continued to see the stress in that portfolio that we’ve seen and talked about over the course of the last two or three quarters.
Donald R. Kimble : The largest charge off there for the quarter Tim was a commercial real estate retail project that we had talked about before that was around $7 million?
Tim Barber : It was about $5 million and that was the property we’ve talked about in Indianapolis.
Tony Davis – Stifel Nicolaus: Nick is there, I’d ask him a question too, on the indirect business I guess Nick what has happened to auction sale prices over the last quarter? And, can you give us some color on the watch list I guess in the dealer services portfolio too?
Nicholas G. Stanutz : Tony clearly with the dramatic decline in car sales that we saw in the fourth quarter, car sales rates at 25 year lows there clearly was just a lack of demand at the auction. If you look at the [inaudible] market index, that index fell from the beginning of the year to the end of the year by over 18 points and I think [Contose] and [Webb] and Manheim were reporting that for the fourth quarter car values were down 5%, 6% depending on which segment you were in. I will tell you they also are reporting as recently as a week ago that they have seen a surprising increase in prices as we’ve entered the first 15 days of January. Whether that is sustainable or not remains to be seen but it’s been surprising that we’ve seen this spring rebound because dealers are clearly focused on selling used cars in this environment not new cars so there is some optimism there.
Tony Davis – Stifel Nicolaus: Just one final thing to make sure – after this reorganization Franklin remains qualified as a servicer in all states and are you still hopefully that perhaps additional contract awards here from the FDIC or other banks might be in the offing?
Tim Barber : You’re referencing Franklin and the servicing platform and we do expect that to be the case.
Operator: Your next question comes from Terry McEvoy – Oppenheimer.
Terry McEvoy – Oppenheimer: A question, in the press release you talked about getting these house account borrowers, I was wondering if you could talk about the window of opportunity? Is that a short window, do you expect more of those? Then in terms of the deposits, have you been getting deposits as part of these new relationships that are coming to Huntington?
Tim Barber : I think we believe the window is open and continues to open and the successes we’ve had in getting additional credit business the deposits have absolutely come with those relationships.
Terry McEvoy – Oppenheimer: With regards to your outlook or just the elevated level of charge offs in provisionings, as you look at the five lending categories that you break out in the presentation today, is there any one or two categories that’s really driving that statement or is it really a combination of all of them showing further deterioration.
Tim Barber : I think it’s a general combination of all of them however, we clearly as I tried to go through in the comments, feel relatively good about our auto business and our home equity business. But again, given the economy, given the stresses in our markets, it really is an across the portfolio discussion.
Terry McEvoy – Oppenheimer: Then when do you conduct your annual goodwill impairment test? Have you taken any goodwill write downs related to the Sky Financial acquisition?
Donald R. Kimble : Our goodwill impairment test is conducted during the fourth quarter so we did complete that before we finalized the earnings and we have not taken any impairment charge on goodwill associated with Sky or any other acquisition.
Operator: Your next question comes from Greg Ketron – Citigroup.
Greg Ketron – Citigroup: Just a question around Franklin, I’m not sure how much detail or explanation you can go in to but it seems clear that if you could exit the Franklin relationship, mind the value of the servicing platform it might even provide some needed capital at the end of the day. Any thoughts or discussion or color you can provide around looking at Franklin and how you might be able to mine the value of the servicing platform or potentially pair back the size of the relationship?
Donald R. Kimble : The charge we took we believe gives us the flexibility to approach the portfolio from a number of different perspectives and there are ongoing restructuring conversations with Franklin which we would hope to conclude in the foreseeable future and around which we would hope to optimize the recoverable value from all aspects of the relationship.
Greg Ketron – Citigroup: In regards to the servicing platform is that something that could be done separately and sold or acquired by somebody that would provide some additional value?
Donald R. Kimble : The nature of our relationship with Franklin I think has to be addressed first and there are more comprehensive conversations first and negotiations that have been occurring. If they are fruitful, that would potentially allow Franklin to be in a position to solicit third party business. I think as you know there is just enormous demand so that platform could grow very quickly and to a very significant extent. That’s part of how we focus on overall value in the relationship. But, there are no agreements or commitments at this point. The negotiations will continue but hopefully conclude in the foreseeable future.
Greg Ketron – Citigroup: So the way to think about it is more of an angle of leveraging the current platform, expanding that and generating additional proceeds in the future?
Donald R. Kimble : Yes.
Operator: Your next question comes from [Eric Connerly – Roco].
[Eric Connerly – Roco]: My question is about the auto loan segment, if as is being discussed in the press, one or more of the big three cut back their bottom quarter to a third of low volume dealerships, how significantly would that affect first your volumes of loans to floor plans and second to the indirect auto lending business?
Nicholas G. Stanutz : We tend to focus most of our originations with the larger dealer groups where you’d have more scalability, you make that call at the dealership level, you can generate more loans than dealers obviously are selling very few cars. So, with less dealers being in the footprint we would suggest that the stronger dealers will obviously pick up that change in market share from being fewer dealers in the footprint. From the wholesale side again, that inventory traditionally gets absorbed by the bigger dealer at the end of the day and of course dealers have been clearly cutting back inventory in light of the environment we are in and they will continue to focus less on new cars and more on used cars which is then the key to the success. The dealers that are making money clearly in this environment are the ones that are selling used cars without the new car demand being there.
Tim Barber : I’d just add on to that, we don’t really think that there is any direct connection between a reduction in manufacturing capacity and the performance of our indirect auto loan book. We’ll continue to originate to high quality borrowers, manage that as we have in the past. There may be fewer cars sold over the course of a given year but we’re going to attract our portion of that and its going to remain high quality.
Operator: Your next question comes from [Vick Ye – Owl Creek Asset Management].
[Vick Ye – Owl Creek Asset Management]: My question relates to how you think the end game plays out in respect to TARP? I know cutting the dividend probably conserves a lot of cash but you’re non-performing assets are rising even in your core business excluding Franklin and there’s a lot of TARP money that you have your capital structure. Do you ultimately intend to repay that or is it probably going to remain outstanding? How do you see the long term sort of game plan in terms of rebuilding capital and sort of growing the capital base?
Stephen D. Steinour : The TARP capital can’t be repaid for the first couple of three years and it’s 5% capital until the end of the fifth year. We’ve seen severe cycles before, perhaps not quite as severe as this but ’89 and ’90 were very difficult for the industry and by ’93 or ’94 things were moving ahead quite nicely. So, I do believe in the span of the next five years the economy will be a lot different than it is today and that will put us in a position with a lot of different options to address repayment of the TARP in that original five year time frame.
[Vick Ye – Owl Creek Asset Management]: What is the right tangible common equity ratio that you’re sort of targeting? And, is it something you can get there by just sort of earning your way back or is there some sort of capital raise that may be necessary?
Donald R. Kimble : Historically what we’ve focused on is our tangible equity ratio because we’ve included in that the convertible preferred issuance so that would add another 111 basis points to our tangible capital ratio. With that we’d be in the 5% plus range and we would typically target something closer to the 6% or 6.25%. We will review that with Steve over time here as well and make sure we access that but we think we can earn back to that level with the reduction in dividend over time as well.
Operator: This concludes the question and answer portion of today’s call. I’ll now turn the call back over the presenters for any closing remarks.
Jay Gould: I appreciate all of you and your interest in Huntington. Thank you for participating today. We look forward to talking to you in the coming days and next quarter. Thank you.
Operator: This concludes your conference call for today. You may now disconnect.